Operator: Good afternoon and welcome to the ClearSign First Quarter 2014 Results Conference Call. All participants will be in listen-only mode. (Operator Instructions) After today's presentation there will be an opportunity to ask questions. (Operator Instructions) Before we get started, during the course of this conference call, the Company will be making forward-looking statements. We caution you that any statement that is not a statement of historical fact is a forward-looking statement. This includes any projections of earnings, revenues, cash or other financial statements, any statements about plans, strategies or objective of management for future operations, any statements concerning proposed new product, any statements regarding expectations for the success of our products in the U.S. and international markets; the outcome of product research and development; any statements regarding future economic conditions or performance, statements or belief and any statements of assumptions, underlying any of the foregoing. These statements are based on expectations and assumptions as of the date of this conference call and are subject to numerous risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. These risks are described in the section of today’s press release titled Cautionary Note on forward-looking statements and in the reports we file with the Securities and Exchange Commission. Investors or private investors should read these risks. ClearSign Combustion Corporation assumes no obligation to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. Please note, this event is being recorded. I’d now like to turn the conference over to Rick Rutkowski, CEO. Please go ahead.
Rick Rutkowski: Thank you very much. Good afternoon, everyone. Thanks for joining us. We are here in Seattle is a rainy spring afternoon, nowadays typical for this time a year. I am going to ask Jim Harmon to take us through the operating results -- financial operating results and then we will get into a recap of what has been a quarter of enormous activity behind the scenes, really setting a stage we think for pretty dam exciting 2014. So Jim, why don't you share with us the results from operations?
Jim Harmon: Sure, thank you, Rick. So for the quarter we recorded a loss of $1.6 million, which is $300,000 increase over the first quarter of 2013. Our R&D expense went up $150,000 to a little more than $600,000 that was as a result of some increased compensation about $90,000 and about $60,000 of consumables and testing materials from increased testing. On the competition side, we added three new employees in the R&D section in the fourth quarter. So that would account for that. On the G&A side, our expense went up by about $140,000 and it was almost exclusive associated with increased marketing and business development expenditures. We have as most of you know -- we had our register direct offering during the quarter, closed on March 5, where we issued 812,000 shares at $8 a share. So the gross proceed was $6.5 million. Our net cash proceeds was $5.8 million. As a result, at the end of the quarter we have $6.5 million of cash, which is enough cash to hold us into early 2015. Back to you Rick.
Rick Rutkowski: Great. Thanks and just a note on the cash estimate that Jim mentioned, that assumes no additional contribution from development contracts or other revenue generating. So we think we are in very good shape relative to our balance sheet and given the level of activity that we see over the next -- the current quarter and the next quarter. I think the second and third quarter of this year are really an important part of what is as I mentioned in our last call are really important transitional time for ClearSign. 2013 again about developing, scaling, demonstrating results, frankly results that exceeded even our own best expectations in terms of performance. 2014 being the year that we partner pilot and otherwise prove out to the marketplace, set the stage for markets, partnering both with OEMs for integration, partnering with companies for distribution and retrofit strategies as well as creating some distribution partnerships where we can sell through those partners into some very, very large markets. As we mentioned here in the press release, this first quarter of this year has been especially important and especially gratifying. Recently earlier in the quarter, we did report that we had achieved an important scale down milestone, which I neglected. Unfortunately, the recap in the press release, but we did show that we could scale down the Duplex and achieve the same kinds of results, single digit NOx submissions and even residential systems. Most recently, we reported a very, very important scale milestone, scaling the technology up to 5 million Btu per hour and I'll give you a sort of a handful of key parameters that are in the most recent press release relating to this, but the key here is to achieve sub-single NOxs kind of how the industry refers to it. 5 parts per million is a key figure because that represents new regulatory requirements that have come into play over the last couple of years in Southern California and Houston Texas and Oxygen is important as well. So the trick is to be able to achieve that single-digits that below 5 parts per million at a 3% O2 level, which is very significant for efficiency. So those are all very significant metrics to appreciate collectively. The other features of this technology and I apologize for some of you, but this is an important drumbeat sort of stay-on because what has continued to really encourage us and really actually create a lot of enthusiasm internally is not just the idea that we are achieving this state-of-the-art NOx performance that can we think uniquely, meet some of these requirements, certainly with respect to Ultra-Low NOx burners. But that we also deliver in conjunction with that several other important features. It's common in Low NOx burners to have an elongated flame because of the technique that is often used to staging the mixing of fuel and air that slows the flame and lengthens the flame and with that come a number of often designed constraints at the system level and operating constraints, meaning a long flame can create flame impingement and things like refinery heaters, it poses other problems in package boilers, but the overall impact is a loss of productivity, a loss of energy efficacy, loss of throughput and increase and maintenance requirement. So the real magic if you will of the Duplex technology is the ability to marry these very, very low NOx numbers with very, very short flame lengths and zero External Flue Gas Recirculation and really virtually eliminate the need for supplemental back-end systems such as selective catalytic reduction. The reason that 5 million Btu per hour milestone was set by us is an important one is it sort of sweet spot in the middle of the process heater space. Process heaters will range from anywhere from a million Btus per hour to 50 million Btus per hour. You start to get into boilers and very large boilers like Once Through Steam Generators are going up the size for your 50 million Btus per hour. But that 5 million Btus per hour really gets us into the middle of a very exciting market, larger systems tend to have greater cost, greater economic leverage associated with them as well. So we are delighted not only with the milestone, but I think as importantly our experience in getting to that milestone was that the scale rules tend to be very linear, meaning that we didn't observe any non-linearities. Often it's the case that you can -- you may be able to achieve low NOx submissions at a smaller scale and then as you scale up, you lose some of that benefit. Not the case here. It seems really that the scale rules have to do with actually the heat density loading on the tile and we think we are well within the limits of that. We continue as we work with this technology to appreciate the great breadth of its strength because in addition to the short flame, the lack of Flue Gas Recirculation, you actually get an increase in emissivity. The black body of the Duplex suspended in the fire box actually is a superior radiator to a flame and as a consequence we can improve the heat radiation profile. Our intellectual property in that regard extends into the systems domain. We recently filed several patents relating to the Duplex that can comprise several hundred flames and we believe the industry literature bears this out. If you look in the industry literature, you will see lots of statements about long flames and the intrinsic nature of these trade-offs are constraints as it relates to low NOx burners. So as I mentioned here in the press release, these features offer the potential delivery of not only the lowest NOx submissions of any available NOx control technology and in that we would include after treatment systems like selective catalytic reduction, but that comes with these performance advantages that I have just mentioned that in turn result in and can result in major cost savings across multiple market segments. So on the scale front we've set a very aggressive goal to scale to now to 40-50 million Btu per hour during this year. You will see us go in the short term to about 7 or 8 million Btus per hour, which is what our internal facilities will accommodate and then methodically from 20 and so on. We just received an RFP yesterday for a 50 million Btus per hour demonstration system and a water tube boiler a little bit different animal than a fire tube boiler resembles in a very real sense a refinery heater. It's an array of burners, wall-fired burners, surrounded by water tubes and that's really representative recently of a lot of activity that I will sort of march you through you. One of the things we've talked about that's very important, I know there has been a lot of anticipation about the idea that we are in these negotiations with prospective partners and customers and we are and we've progressed, we had hoped to have concluded probably by this time, I mentioned, I think in our March call, that if it wasn't by the end of the first quarter, we anticipated it would be just a few weeks beyond that. We are a little later that date, but not terribly much. Part of that is I guess I failed to account for the unusual sort of staggered spring break that occurs. So we did actually encounter some mundane things like -- but more importantly, we are really committed to ensuring that as we launch this disruptive technology into the market, we do that from partnerships that are really strongly founded in shared assumptions about the size of the market, the rates of penetration, pricing models and strategy where you know geographic territories where do we go first and so on. So in our view, we really think there have been some significant improvements to that sort of consensus view that give us actually a great deal of confidence and clarity about what this can look like and in fact there is a lot of upside in that. We actually collectively I think we’ve concluded that the market in some segments that we are preparing to enter is substantially larger than we might have through it would be by virtue of some of our interactions with the downstream channel partners who are very enthusiastic we are delighted to say. So our emphasis again is not just on entering these markets, but entering with the correct level of focus, intensity, clarity and vision about where we are headed and how we are going to get there. We believe that because this technology is disruptive and I will define disruptive in this context, it is something that exceeds the performance of other systems out there, but also marries to that improved emissions control performance, the kind of economic advantages that we are talking about in terms of operating costs. Now if we -- from our perspective what that translates to is an ability to really gain share by virtue of those competitive strengths and gain that share not at the expense of pricing or margins. Again what we are committed to here is driving rapid, sustained high growth rates and the appropriate kind of profitability that ought to be associated with the technology that is by some reports deem changing. Some of our partners use that word to describe for example, just the fact that you can eliminate Flue Gas Recirculation. So the other thing that has changed, and we think this is really a very exciting I will try and capture this in a way that's accessible and discernible, the Once Through Steam Generator market is really exciting in a couple of different respects. It's exciting because it's a big market, there is a lot of demand, but that demand is also consolidated geographically. In other words, these exist in oil fields and as we know oil tends to be geographically selective. So what you find is large number of systems across small geographies and the people who own and operate those systems, there are hundreds of oil companies, there is a handful of them that really are of course the big difference makers and they are household names. So in other words we are able to access a very large market in a dense geography, a very large high value system, which means you can really target high sales productivity, there is a great infrastructure of engineering firms that service, build, maintain, operate those systems are very familiar with all the thermal requirements and we are able to as we go partner with those downstream engineering firms to address that market. And the beauty of this is we think we can pilot and begin to install systems. There are strong sense based on the last few months of activity, especially in Kern County in California, where a lot of these systems exist is a significant pent-up demand and we think we are going to be able to sort of drop the timelines for developing these systems to that scale and demonstrating them. As I mentioned at 5 million Btu per hour in the one to five range we are already covering a pretty significant part of the market. We are reaching up to the next run here in the 5 to 20 and 20 to 50 range because we think that's where a lot of the really high value applications live and again what we want to achieve here especially as we drive into entering the market and establish a footprint is to achieve some combination of high value, but also the potential to drive volume and scale economies as we go. So we are really very enthusiastic. We have as I mentioned this an RFP that came across the trend from yesterday from a large company in the paper and pulping industry that has a significant notch problem and are very anxious to the extent we get the results we think we are going to -- they are anxious to publicise those results. So as I mentioned, we have a set of really clear advantages compelling benefits to offer. I will cover a lot of what we said in the press release here about advantages for package boilers. The advantages for Once Through Steam Generators. In the refinery segment and again you've heard this before I think some of you it's a flame shape is a huge issue. If you want to Google online, there is a really interesting and well done paper I think called a process burner is 101 that will give you a nice accessible introduction into the use of low NOx and ultra low NOx burners and process heaters and why that flame length has been such a design constraint and the kinds of operating constraints and costs that are imposed by. But flame impingement on process tubes is I think I quote actually from either that article or one of the text books to be avoided at all costs and the reason for that is one if you degrade those tubes and you have to replace them. You have to take a very expensive high throughput, high value piece of equipment offline and that's enormously expensive. If you have breach in the tube, you have safety issues as well, but at a simpler level, imagine for example you have six burners ringed around in a crude heater or something like that and one of these burners has a flame that's four feet tall and the other five have flames that are two feet tall, while the four foot flame is the one that constrains your process throughput and that's very representative of the kind of things you are likely to see. So with the Duplex technology we virtually eliminate any potential and the artifacts that would give rise to this challenge with flame shape. There is no potential for nozzle to nozzle interaction, no potential for burner to burner interactions. The flame is collapsed dramatically by the fundamental mechanisms of the Duplex technology. So this is a really exciting solution. The other thing that's powerful here is we have and this is important, but we've had lot of inquiries from and particularly the South Coast Air Quality management district and had a great ongoing dialogue with those guys about the technology. They did ask us to submit cost and feasibility data with reference to their review of candidate technologies for best available retrofit control technology for refinery heaters and I think they are looking at a broader array of heater types as well. They actually also invited us [Joe Colonino] (ph) will present at the Annual Air and Waste Management Association, which is sponsored by the South Coast AQMD. So again the important theme here is partnering pilots, customers commercialization and we are very pleased with the funnel. I guess I want to emphasize that while this has taken a little longer to get some of the consensus we use off the ground that we think are the important foundation of at least one of our partnering arrangements but I don't think that, that really has disrupted the overall timeline, meaning that in parallel we've made this tremendous progress on the technology that we believe puts us in a position to enter the market quickly and the technology by virtue of its characteristics we believe lends itself to being able to move fast. So I think as I said, a little bit of delay, but the payoff here is I think more focused, more intensely and again a vision of the market that is substantially larger than our partner had first estimated, which of course we think raises the level of importance that is associated with it and we are very pleased by that. I think we have an agreement among ourselves and several other parties, partners and so on that there is a potential to achieve a best available control technology kind of designation, so again that sort of shared vision, shared strategy, we think is really fundamental to the long term success of these partnering deals. We continue to have an advance stage of discussions with regard to some pilot demonstrations at a larger scale. We have I think in large major agreement on many of the contract terms, there is a little bit of discussion to have and resolve still in terms of some pricing concessions for the early small number of units that would go into this one side in particular. In the other case, the RFP is brand new, but we think that can move along very quickly as well and then we have an ongoing dialogue with very, very large refinery oil company in the U.S. about pilot site demonstration and then more recently, a smaller refinery which is great because it's very manageable, it's geographically convenient where we think we can potentially move very quickly as well. And we think that once we actually get these systems in the field you will see a further acceleration of the level of interest, I am setting aside for the moment the fact that we have very high level inquiries from places like Saudi Arabia, Latin America and other places where we are obviously focused on getting as much traction and momentum as we can here first. But in general, I think the important thing here is that what we've shown recently is that this does scale, it scales with the same really unmatched set of performance and requirements and performance and features that we've demonstrated at smaller scale and as again I think our confidence level understanding what the scale rules look like is that we can scale this at much larger scales pretty quickly. The actual exercise, I'll give you a sense of this. It won’t surprise you. It took us longer to permit the 5 million Btu per hour furnace than it did to actually put the Duplex in and get it up and running. Once we had everything built, ready, shaken out, constructed and permitted, the actual development timeline was in fact very, very short indeed and again very predictable. And we've mentioned that we've seen results below 5 parts per million in our press release we think the trajectory in the intermediate and long term is very promising if not something closer to astonishing. We think we are going to be able to get what the industry has pursued for many, many years, which is called near zero NOx submissions and I've encouraged people in the past to think in the macro sense of what that means. If I am natural gas producer and I can look to a world where NOx submissions are not an issue, than I have really a pollution-less fuel, an emissions-free fuel and I know it sounds a bit like a pipe dream, but -- and I would have said the same thing myself, but we think it is something that is now realizable. Important thing to emphasize and recognize for any of you who are combustion and emission control experts, another key feature, we are getting zero CO or single low, low single digit parts per million of CO, at the same time as we are driving the NOx below 5 parts per million. So it's not a sort of a bubble under the rug trip and again that's the same importance of that low O2. Other solutions can achieve single digit NOx, but at the expense of 8% to 10% oxygen in the stack, which is very, very inefficient. In the solid fuel sector we did report some scale-up results that we had achieved in flame shaping, Covanta was kind enough to sponsor that effort and in the fourth quarter of last year, we've done some more work with that, created some new electrodes that we've optimized that got us even more impressive results with regard to flame shaping. Again this is largely about process tube impingement, about uniform heat distribution in the fire box, which is about efficiency, it's about avoiding unscheduled maintenance and minimizing maintenance cost, but it's also again about capacity, the fact that you can get the same amount of heat released in two thirds of the physical volume now means that you've got another 30% of furnace capacity to scale into. And this is another very powerful aspect from a refinery perspective is that what you encounter with these long flames and where you have flame impingement is situations where people are required to end up having to de-rate their heater and we believe not only can we re-rate those heaters, but with the Duplex it may be possible to over-fire them by 5% or more. That's a very, very big number. And it's important to understand that if you do that in one part of the refinery, it may or may not solve a big issue, but it's always important to have that latitude and that capacity to refinery and operators. We began to really understand how those economics work. So in the solid field domain, what you can look forward to here I think in very short order is the first members to join what we've formed [Tim Leslie] (ph) a consortium to help sponsor the effort going forward. There are other companies that will be joining with us. I think that we will end up between this quarter and next having a total of six to eight companies. I believe right now we've got about three assigned and so we will probably report on the first three or four in the next week or two. We did have some success in addition to flame shape reproducing some results that we've seen at the bench scale with regard to dramatically reduce the opacity meaning smoke that escapes from the stack is dramatically reduced by the electro dynamic control that system. We have substantial interest from one of the larger utilities in China that we are having an ongoing dialogue with, with regard to partnering on that and we've also been invited to build a couple of demonstration systems in a major Chinese city by the local administrators and municipal government in that city. So we are getting the right kind of visibility. People in China as you can imagine are clamouring for solutions to emissions challenges. They do have some NOx goals. They have not been successful in meeting those goals in terms of NOx reductions. A huge part of the problem in addition to PM2.5 is NOx is precursor to ground-level ozone. So we think there is an enormous opportunity in China and there is continuing high level of interest and one of the fascinating things about some of the discussions that we are having with companies overseas is they are attending to occur at very, very high levels in the organization. So Chairman of a significant Chinese waste energy company visited with us recently. We have a follow-on meeting with them next week. The head of the Clean Energy Research Institute at this major utility that I just mentioned is in direct contact with us and in the case of Saudi Arabia, it's again a sea level contact from a large engineering construction company and we think this is really just a glimpse of what the future holds. Again to us what is gratifying, what is confidence building is when you look at the peer feature set and the competitive strengths of the technology, it really suggests and I hesitate to use the term, but in due respect it's ours to lose. We have something that offer significant advantages. It's now up to us to both get that end of the market quickly and to pull value our participation in the technology as we bring it to market and that's very much the balance we are wanting to strike and as I have said, I think we are very happy with that overall picture. This is the hardest part of the curve, if you keep that bell curve in mind, it's the early part, the thin edge of the wedge and there is a lot of stuff that resides in that blank space up the curve, which is unfamiliarity. We got to create awareness. We've got to be credible and convince people that we've done these things and historically frankly people were simply not possible with Ultra-Low NOx burners. So that's the flip side of the very good news is that we have to go through that little extra bit of process, but I think we are well through that in many quarters and many of the key application segments that we've identified. We've identified some very powerful early adopter champions at some very big companies and again we want to stay focused and disciplined about executing on these pilots and partnering initiatives. So we think it's been a very satisfying period of time for us. The landscape has really developed in particular against I would point to the addition of the ones through steam generator opportunity as really a key component of a strategy now that we feel really gives us the ability to set the pace with regard to that marketplace and address what is a very, very large market again in a dense geography. So it means there is a level of convenience associated with that as you can imagine and leverage lots of excitement among many of the engineering construction firms that serve that region and that industry. So I think that's it for my comments today and it looks like we've got a question lined up.
Operator: Yes. Thank you. We'll now begin the question-and-answer session. (Operator Instructions) And as mentioned, we do have a question from Jim McIlree with Chardan Capital.
Jim McIlree - Chardan Capital: Thank you. Good afternoon.
Rick Rutkowski: Hi Jim
Jim McIlree - Chardan Capital: Talking about Steam Generator market and (indiscernible) just want to make sure I understand that these are two initiatives for you right now and if that's the case, which do you think is first in terms of generating the license trend in the [long term] (ph).
Rick Rutkowski: Your phone was breaking up quite a bit in the early part of the call. I got the later part of what you said, but what were the two segments that -- I think it was two segments you want to compare and contrast.
Jim McIlree - Chardan Capital: Yes, you talked about Once Through Steam Generator market and about this heater market and my question was there are two separate initiatives for you.
Rick Rutkowski: They are in terms of the market segment that they address. From the standpoint of product development, one of the nice things about this technology is that there is a lot of platform commonality across all of these applications. So the difference between those two from a systems level is that many process heaters would be natural draft and most boilers including once through steam generators have blowers and are either what are called force draft or powered burners. We've shown that we are -- while there are differences in those two types of approaches were more or less different to them. So from a go-to-market strategy standpoint, the timing really just has to do at this point with where we are seeing, that's the greatest pull, but I don't think it's that so much. We have on the OTSG side, we have several guys who are pulling pretty hard and have sights identified. And in fact this recent RFP has kind of a leapfrog characteristic to it with respect to this water tube boiler. So in the world of pilot site demonstrations, that's really about just sort of going as fast as we can, so it's a little bit of a horse race. Obviously where we are being strategic about the reference ability of the systems to very, very high value applications. So we want to get in demonstrate the characteristics that process engineers in the category now correlate directly to the various economic advantages. At the moment, between once through steam generator and refinery process heater it looks very much like the ones through steam generator would be the first of those to actually turn into an agreement and then I think there is a strong likelihood based on at least my current understanding that this large water tube boiler which is about the same scale, the burners are about 40-50 million Btu per hour could start to move along pretty quickly in terms of a pilot site demonstration as well. But the reason where one of the things we are really focused on in that Once Through Steam Generator market is again we think it's kind of a unique animal and we can get in there and partner directly with the distribution channel. We don't necessarily need to negotiate license term as we need to set prices and sales incentives and go to market and try to cover as much ground as we can. Roberto Ruiz, our Senior VP of Product Development has been given the task of performing that analysis and putting the business case for market entry together. We have several engineering and construction firms in the region there, big ones and little ones. One is a division of a multinational. The other is a very successful early stage company headcount about 450 and everything in between. It really is the industry in that part of the world and there is a lot of service infrastructure to address it. So we can go into that market, partnered with those teams from the service entities and really install these systems directly and by the way, they know these OTSG systems intimately because in many cases it's these engineering and constructions firms who designed and built them and/or operate and maintain them. They are on contract with the oil companies on site. So there is just great infrastructure in terms of the intermediate steps behind ClearSign who has developed the technology and the ability to get it through the market. We have the combined resources that would be required between us. Certainly, to set that mark, we do have interest from folks who are interested in licensing that, for that segment more broadly as well, but we think we will gain great insight as well as some real strength by demonstrating both the system and the economic benefits of it.
Jim McIlree - Chardan Capital: Great. And can you talk a little bit about this RFP in terms of what it is, what's the deliverables, if there are others involved in it? If this is a competitive RFP, time and money you would have to invest in this.
Rick Rutkowski: Yes, I don't think it's been put out for competitive bid, but I am pretty certain but I don't know. I think they view this as kind of a unique situation. This comes on the heels of several meetings that we've had with these folks. So the cost associated with it from our perspective is a very manageable number, it's probably a few tens of thousands of dollars. We do believe they will be cost reimbursement, both from the customer as well as the potentially some of the air quality folks in the region up here, but it's brand new, but I think there is a great deal of enthusiasm behind this. so I don't think we are competing that and I think what's kind of interesting and exciting to us is that it's in our backyard, it's a segment that we can demonstrate and it's very, the overlap with the OTSG solution is very significant. So one of the virtues of our technology in particular is that even in a case where we go in and we say, look, we'll put the bill on a pilot installation. It doesn't really cost us a lot of money to do that. Now in most cases there is usually some in kind contribution or the customer will say, well we'll cover the installation cost or we will still win some of our processer engineering time and things of that nature. So it ends up being kind of a shared deal. In other cases, we will get paid and I think paid even substantially for it. So it varies a little bit on a case by case basis and people who are listening to this call, anyway, give it to that guy for free, but the beauty again of the technology is that we can be very horizontally integrated around the technology and what I mean by that is that in order to -- we don't have to quote unquote “manufacture a Duplex solution”. We source the component parts, the ceramic tile parts. We source the fixturing parts and these are pretty mundane commodity times of things from a very robust supply channel that is pretty broad. It's not a large parts count. So the supply chain piece of it and sourcing is very straightforward and then as we mention downstream in terms of engineering resources to support the structural engineering field installation support, we can partner with folks who know these systems intimately, have deep process engineering expertise. So again, that's part of one of the other beauties of this technology and its performance set and it's fundamental sort of physical characteristics is it actually allows us to move in that fashion. There aren’t for example a lot of really tight tolerance with nozzles and as we mentioned, you don't have to be concerned with things like nozzle to nozzle interaction because Ultra-Low NOx burners especially as you get down into single digit performance can become -- traditional Ultra-Low NOx burners can be very finicky things and the Duplex doesn't really have those kinds of characteristic. So we are really excited about this. I think you and I were talking the other day Jim about just kind of how early on really the concept behind this technology had a lot to do with this -- what we call the increased length and the idea that you get more, the fuel and air mixed more thoroughly before admission and that's what get you to that short flame, but it's only later and we've done an analysis on the radiative effects and the heat transfer because that's another one of the big challenges with Ultra-Low NOx burners is that if you replace a conventional burner with an Ultra-Low NOx burners and you get this elongated flame, it also tends to ship the heat transfer profile and you don't get sufficient amount of heat transferred in the radiant section of the system and that can create too much of a load in the downstream convection section including re-heaters. One application that I am very interested in and we are having pretty early dialogue and again it ties in with the scale requirements that we are targeting at 40-50 million Btu per hour, but coal to natural gas conversion, this is the single biggest challenge that face when you yank a coal-fired burners out of a system and replace that yellow radiant flame with a blue non-luminous flame or non-radiant flame, they lose heat transfer in the radiant section and that involves in many cases reengineering of the downstream convection sections and the re-heaters and all of that. So by introducing a Duplex into that scenario we believe and we know, we got to flush this out and beat it up and really people play devil’s advocate to it, but the idea here is that you would restore radiant heat transfer, you get the nice emissivity of that black body emissivity of that tile and at the same time, potentially obviate the need for a $60 million plus selective catalytic reduction system on the back end of that system. So it offers we think broader feature set than we had even first anticipated and we are as I said, right now trying to stay very focused on the segments that we've discussed, but the beauty of that again is there is not a lot of highly differentiated engineering once you get to a scale requirement at 50 million Btus per hour adapting the system from a Once Through Steam Generator to a water tube boiler to a utility boiler are not that challenging. So it offers us that kind of flexibility, but we think that and I think the analysis that Roberto and Andy have done on this Once Through Steam Generator market I think the numbers and we've just gotten a research report in the last couple days that will give us some better numbers. So these are sort of back of the napkin estimates from anecdotally that come from our conversations in Kern County with various folks including the oil companies and these engineering firms. There is about 1200 of these things just right there in that Bakersfield area around Kern County and then of course you get up in the Western Canada, good, many, more in Germany, larger numbers have these units, other places in the United States. So we think the very, very large market is selective catalytic reduction system for a system of that scale would be priced on the order of $0.5 million per unit. So that's what we are kind of shooting against and of course we offer some other advantages. One of the things that selective catalytic reduction systems, people don't tend to like the idea that you've got a catalyst, a consumable whether it's urea or ammonia, the worst case, and hybrids ammonia, you are now in hazardous materials, but in the last couple of years, people have discerned the idea that you have NOx, you've got pre-cursers from escaping into the environment that our pre-cursers to ultra find PM2.5. So there is a lot paper if you are interested in and I can share with you that written by some folks at Chevron, talking about why for example SCR systems are not a desirable choice for refinery heaters and we are hearing really the same thing in the Once Through Steam Generator market. So there is a definite part of a strategy that may seem obvious to me but if there is repeating, which is we think there is a real pent-up demand in those markets where the regulatory requirements are very aggressive and there is a lack of cost effective solutions to meet those requirements. Meaning gosh, in the boiler space, what's for example, in Southern California today, if you want to meet the 5 part per million requirement, you are typically doing that with a combination of a low notch burner that's got a pretty healthy amount of external flu gas circulating through it, may be as much as 30% or more and in turn has a selective catalytic reduction system on the back end and the cost and complexity of those systems ads up as you can well imagine. So we are getting as I said a really enthusiastic response.
Jim McIlree - Chardan Capital: Okay. Great. Thanks a lot.
Rick Rutkowski: Thank you.
Operator: Thank you. And the next question comes from [John] Investments.
Rick Rutkowski: Hi John, how are you?
Unidentified Analyst: Good. How are you doing today?
Rick Rutkowski: We are doing very well. Thank you.
Unidentified Analyst: Start performance has not been recently, I am sure you are well aware of that. My sense is it's the lack of revenue because revenue is coming in a lot later than folks had originally anticipated or you had led them to believe in previous calls, can you share anything with us at all about your expectations when we will start to see revenue booked?
Rick Rutkowski: Yes, again the real -- revenue expectation for this year had mostly to do with contracts and I don't know if you were on our previous call, someone asked the question about it and only so much revenue is the driver as the partnerships that people had hoped to form sooner. The capital markets have been pretty messy. Recently the indexes are not telling the full story. If you watch certainly many smaller and micro cap stocks there has been a broad melt down you’ve seen on the news headlines about the rotation away from growth and stocks that have had big runs into others and so on and so forth. So I think there is a number of variables because I don't think the focus has been so much on revenue as it has been on forming these partnerships and getting the validation and endorsement of those partners and there is always a decision we face, right, which is can I do this deal today or if it takes me a day longer, is the deal that much better? I am a large shareholder in this company. I don't like seeing the stock down at all, but I am also focused on where we are headed in terms of value creation, not just this quarter and next quarter, but 10, 12, 20 quarters out. And we are going to live with these long term licensing arrangements for many years. When you start to do the marginal analysis, a 2% difference in royalty rate or 20% difference in annual minimums can make a big difference to the long term picture and so in any negotiation, obviously there is multiple layers of complexity, but the landscape has changed for us in a way that has been we think a very, very favorable and we think we have -- we've made some decisions and choices about the timing versus the quality of these arrangements. And our sense at the moment based on the information that we have and the dialogue that we have is that looks like it was the right thing to do if that's your metric. If your metric is how do we cut the best deal that gives us the right level of participation to achieve the appropriate value consideration for our contribution i.e. this technology that enables share, that enables profitability, that enables competitiveness, we need to be able to participate in that. And then it's also how do you attach the right level of importance to this? If you are my partner John and you think the market is X, you are going to have one level of focus and intensity and enthusiasm about it. If you think that market is 10X, your level of focus, enthusiasm, intensity and resource commitment are going to be substantially higher. So that's the part of the equation as well. I hate to be so [blinded] (ph) to say we want to make sure our partners get it and get it as much as we did and I had a conversation recently where one of them said, the problem here guys is I've fallen in love with our technology. We think it's a game changer. We think it's a world beater. Now I am not going to sit here because we are in love with it and hold it and cradle it and touch it to our chest. We want it the market, but we also recognize for what it is, how broadly enabling and frankly part of the challenge is it's better than we thought. We didn't know we were going to be able to get these same kinds of results and better than what we published at this scale. We didn't know that it was doing to scale in such a linear fashion. We also didn't know that we were going to get this tremendous pull from this other very large market that lots of folks are very interested in. So several things have happened that have put us into a more favorable position. Keep in mind we are coming into the equation as the little guy, right. So even though we've got the big game changing technology, we are still the little guy and part of what has to happen for us is we need to make sure that our big brother and our partners really get an understand the level of contribution that we are making. So I think it's not so much again, the revenue associated with those contracts, there is some that will have the effect of offsetting our burn rate stretching our capital and again, part of our theme here is capital efficiency. So could I have is capital efficiency. So could I have gone faster by throwing a lot more money at this, a lot more BizDev Resources may be, am I leaving money on the table by doing that? I don't think so. I think at the end of the day, you are always dealing with that bell curve and the front of that bell curve and I have been doing this for a long time is very challenging indeed and I've used the example before, look at the challenges and we don't face and are not facing anything near like this, but look at the challenges that Qualcomm faced. If you ever talk to some of the guys who owned Qualcomm in the mid 90s and early parts of this decade and there was downright hostility toward that company. They were called [fronts] (ph) so there is always a little bit of a delay time when you are bringing disruptive technologies and market is always the toughest thing to predict because this is about aligning the interest of our company in which are pretty straight forward. There is 15 of us, it's not -- with the interest of much larger companies, we've got multiple initiatives and it's hard to predict exactly how that's going to come about, but as I said, what's important to us is that shared vision. How big is this market? How excited should we be? How aggressively should we penetrate? What kinds of resources should we stack up behind this to drive the market and should we for example pursue something like best available control technology that really puts us in a very powerful position of strength. So there is that sort of complexity that goes into these things and to me it's as important to do the right deal as it is to get the technology in the market quickly. We do have some time based considerations, but we don't see a window slamming on us because frankly I think if you look at the characteristics of our technology and the development trajectory in terms of where we are and where we are headed from a performance perspective, I think we are going to be the ones that are going to be able to drive the obsolescence curve. So I am not worried about today at least someone leapfrogging us and getting to two parts for me and will have the same characteristics that we see, we just don't see anything like that and say. So competition always has a time-based element to it, but again it's real important for us especially, on these early deals to do them right, to set a strong foundation and to proceed from a position of strength and a really shared view of what the market place is like and I think we are now there and now we need to go back and forth, push some paper through and get out there and we've affirmed and our partner perspective -- partner has affirmed that their channel is really anxious to get going and that's where we wanted to be.
Unidentified Analyst: Can you hear me?
Rick Rutkowski: Yes, I can hear you.
Unidentified Analyst: Not to toot your horn for you, I think the good news, in fact the great news is that ClearSign can pull all the top 10 the world, the game changing patents, in the world you know.
Rick Rutkowski: Well, I appreciate the enthusiasm John, and I think you are right and one of the things that we do in our patent strategy is we say, well gosh, when you have this type of burner in something like a fire tube for example is it still a conventional fire tube boiler? Is it a whole new kind of boiler? Does it enable new kinds of heater designs? Not just new emissions control techniques and so we do what's called patterning down into the application space and we are now at about 150 patents, I guess that's another metric that I neglected to include in the press release update, but you are absolutely right to call attention to it. It's a fundamental part of our strategy and it's fundamental because that's what our partners are valuing. Our partners are valuing the ability to enter the market with disruptive technology that is protected. So they can protect that franchises, they go to market and we and they together can really do very significant things in terms of share. I will tell you something that's really quite interesting. I mentioned there is a perception that the market is larger than they might have thought. It's a factor of four times. So the market is four times larger than what they thought it was and I thought it was pretty large to begin with. I should say we've done analysis, but this is -- again I don't want to sound like I am protesting too much but it's so important clarity. I think there is -- one of my favourite movies is called, The Sniper, and one of the great lines from that movie that I often tell entrepreneurs because there is a tendency to go fast, fast, fast and it's absolutely important to go fast, but the line in the movie is, “slow is smooth and smooth is fast”, and what you really is getting at is we all know is preparation is as important as speed, because preparation is what buys you the momentum, the speed and the intensity that's required to really enter these markets and be as competitive as we should.
Unidentified Analyst: ...too Rick. The protection that you have through the past I think is good too.
Rick Rutkowski: No question, absolutely done. It's fundamental. As I said, that not only to us, but to our partners, that's what they look to us for is to give them that protected position and unique different, highly differentiated position in the market that is protected against competitive threat. So you are absolutely right. I appreciate you calling that to my and everyone’s attention again. Thanks.
Operator: Thank you. (Operator Instructions) All right. As there are no more question at the present time, this concludes our question-and-answer session. I would like to turn the conference back over to Rick Rutkowski for any closing remarks.
Rick Rutkowski: Yes, again thank you all, not just for coming today. Many of you have been so supportive, so loyal, so patient, so enthusiastic and that's invaluable to us and we've had really great fortune to have some tremendous shareholders one of the things that was great about this last financing is that we got to bring some new institutional shareholders into the mix who we think are very high quality folks who are capable of holding much larger positions over time and we hope to earn that further confidence by executing on the plan. But again, to me personally if you said, what's the most exciting thing that's happened, the fact is we've now demonstrated that we can achieve full industrial scale 5 million Btu per hour plus with performance characteristics that are unprecedented in the category and that deliver really compelling economic value in the segments that we are targeting. So the momentum will continue to build here. The segments that we are targeting continue to be the same ones and I appreciate again your patience in working with us as we work through these negotiations and preparations to get to market with most and the strongest way that we possibly can. Stay tuned, there will be developments coming very soon.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Have a nice day.